Operator: Good morning. My name is Paul and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Mandalay Resources Company Corporation's Fourth Quarter and Full-Year 2021 Financial Results Conference Call. Joining us on the call is Dominic Duffy, President, Chief Executive Officer, and Director of Mandalay Resources. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. . As a reminder, this conference is being recorded. This call contains forward-looking statements which reflects the current expectations or beliefs of the Company based on information currently available to the Company. Forward-looking statements are subject to a number of risks and uncertainty that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from the current expectations are disclosed under the heading Risk Factors and elsewhere in the Company's Annual Information Form dated March 31st, 2021, available on SEDAR and the Company's website. Dominic, you may now begin.
Dominic Duffy: Thank you. Paul. Good morning, everyone. And thank you for joining us today. With me on the call, is Nick Dwyer, Mandalay's Chief Financial Officer. And I also have Chris Davis, Mandalay's Vice President of Exploration and Operational Geology. Mandalay released its fourth quarter in year-end 2021 financial results at market close yesterday. You can find our consolidated financial statements and MD&A on the Mandalay Resources website. We also have it under our profile on SEDAR. Mandalay achieves significant operational and financial milestones in 2021, illustrating the strength and execution on our strategy. Including this quarter year-end results have been heavily steered by the quality of the Youle, high-grade and low costs gold and antimony mine in Victoria, Australia.  the yield and the consolidated basis, Mandalay produced a 123,000 ounces of a saleable gold equivalent, which not only exceeded the 2021 guidance, but was also the company's best result achieved since 2017.  Year-over-year production improvement since 2019 demonstrate the completed turnaround at both assets and the long-term financial status stability and growth that will provide for Mandalay. Looking ahead, we're expecting significant production increases at Björkdal and a slight production improvement on cost of field over 2022. And we anticipate consolidated production of a 180 to a 130,000 ounces of gold equivalent produced at an expected cash costs of $7 to $900. And all in sustaining around about $1100 to $1300. I'm pleased that in December, we successfully completed the sale of non-core Cerro Bayo Mine -- Equus Mining, sorry. We believe that Equus is well-positioned to move this project forward, allowing for both parties to mutually benefit. Before discussing our operations in more detail, I would like to pass the call off to Nick, who will walk through the financial highlights of the company during Q4 and full-year. Nick?
Nick Dwyer: Thanks, Dominic. Mandalay delivered another excellent quarter and an overall fantastic 2021 year. The company achieved numerous financial records, including revenue and adjusted EBITDA. For Q4 and full-year 2021, we recorded $73 million and $229 million in revenue respectively. On adjusted EBITDA, we achieved records of $41 million and $115 million dollars during the same period. As compared to full-year 2020, our revenue grew by 28% and we also improved our adjusted EBITDA margin to a healthy 50%.  was due to an overall increase in consolidated gold equivalent ounces sold of 26% compared to last year. During Q4, we recorded a consolidated net income of $15 million, which is $0.17 U.S. cents per share, or $0.21 Canadian. For the year, consolidated net income was $55 million, which is $0.60 U.S. cents per share, or $0.75 Canadian, which is a great effort. Mandalay's average realized gold price at 2021 was $1,818 per ounce, as compared to $1,804 during 2020. Also, antimony 's strong appreciation to above $11,000 per ton, from under $6,000 last year had pushed antimony's contribution to consolidated revenue to 18%. And currently, the antimony process is above $13,000 per ton, which is excellent for Mandalay.  Our consolidated cash costs did lift from $843 to $873 per gold equivalent produced for 2021. This was mainly due to the cost incurred at serve-buyer for the processing of the lower-margin material. As Dominic mentioned earlier, this asset side was completed in Q4 last year. And from a -- from an all-in sustaining cost point-of-view, the increased production performance from Costerfield, eight of the groups all-in amounts to $1,254 per ounce to $1,212 to 2021. Mandalay closed the year with $30.7 million in cash, a slight increase from the $29.8 million in Q3 2021. However, due to global shipping challenge with the Costerfield, our year end cash total leaves out a significant amount of cash which was normally scheduled to be received in December, but was pushed out to January 2022. So that said, at the end of January 2022, Mandalay had a cash position of $47.2 million. Regarding our debt, our  facility stands at $43.9 million and we will continue to service this debt with the $3.8 million quarterly repayments during 2021. That's during 2022 with $29 million balloon payment which is due in Q1 2023. Lastly, and Chris can speak to this in more detail, but the 2022 exploration spend is expected to be increased following our successful 2021 program. At Björkdal, we're looking to spend $4 million to $5 million U.S., while at the Costerfield, it will be around $7 million to $9 million. I'd like to turn the call back to Dominic. Dom.
Dominic Duffy: Thanks, Nick. Turning to our operation, as I discussed earlier in the call, a large part of this strong quarter and year-end 2021 was due to the continued high-grade ore from Costerfield. During Q4, Costerfield was able to process gold grades of 13.5 grams per tonne. Lift in the year-end, grade to average to 1.8 grams per tonne. On gold grades alone, this makes Costerfield one of the highest grade gold mines in Australia, and places us in very competitive spot globally. If antimony was considered, Costerfield's price is in average gold equivalent grade in excess of 20 grams per ton for the whole year, further strengthening Costerfield's position as a high quality asset. As compared to 2020, Costerfield's gold equivalent production improved 18% to 68,700 ounces. This lift well supported by the above-mentioned improvements in antimony process. But nonetheless, standalone gold production year-over-year did improve approximately 6% to 47,750 gold ounces. As I mentioned of these improvement, Costerfield's revenue for Q4 2021, was $49 million, an 87% increase from $26 million in Q4 of 2020. However, this will not be a normalized level with moving forward unfortunately, as there was an increase in ounces sold during Q4, deriving funded the lines shipments that pushed recognition of Q3 revenue into Q4 of 2021. Cash cost per ounce of saleable gold equivalent produced in Q4 2021 was $557 compared to $668 in the same period in 2020, while all-in sustaining cost per ounce, of salable gold equivalent produced in Q4, was $731.  declined in cost per ounce metrics was also saying within our year-end results slight quarter to cash and all-in sustaining cost of $593 and $866 respectively. A decline of 6% and 14%.  Looking ahead at Costerfield, we anticipate a slight improvement in production protocol during 2022 as  ramps up at yield. And with the initiation of production from the hard dried deposit at Shepherd. Moving to Björkdal in line with the previous year, this  produced 45,000 on saleable gold ounces and generated $85 million in revenue and $28 million in adjusted EBITDA. This annual production performance was below our planned production rights, as mentioned during Q3 -- in the Q3 call. This under-performance has been from dilution initiatives in several stopes, and most importantly, the Aurora zone, which is where a lot of our production came from in 2021. Since then, the site has continued with its program of step changes to support the hanging more, with long bolts at the -- with Kaggle bolts being used throughout the start, fuel pattern design changes, and removing development drives from the hanging wall side of the deposit. These steps have translated into production improvements of the quarter, and we'll set operation up for bid at 2022.  Operation currently has a significant amount of production areas to focus on as how we -- as we're seeing improvements in our stocking measures. We expect to see guidance in our monthly gold output. Cash and all-in sustaining costs were higher at $1, 233 and $1600 per ounce, compared to a year ago. These increases were primarily due to higher cost of production and a $10 million investment in the  lift and a relative strengthening of the Swedish Krone currency against the U.S. dollar. For 2022, we expect grades to lift and stabilize at planned levels through improvements carried out in the second half of 2021. And we will begin focusing on the recently discovered high-grade Eastern zone of Björkdal to incorporate it into the medium and long-term plans of Björkdal. At Cerro Bayo from January 1st to December 1st, 2021; This site provided the company with $12.7 million and $3.6 million in revenue and adjusted EBITDA respectively. In addition to our operations and financial success, I would now like to invite Chris to speak to our recent exploration development. Chris.
Chris Davis: Thanks, Dom. Subsequent to quarter end, we reported on two key developments to Mandalay. First up in January, we provided the market with an update on the eastern extension drilling programs at Björkdal. We were very excited to report on multiple high-grade intercepts, in the eastward and depth extension to the central zone veining. This emerging high-growth demand could have a significant impact on production profile of Björkdal going forward. Several of the intercepts were some of the best grades yet seen at Björkdal, including an intercept of 47.7 grams  gold over 11.7 meters, with an estimated  of 5.8 meters. These significant results have been linked to the extension of 21 veins with the discovery of 16 new veins. Whilst the veining has been extended 350 meters, it is expected that the additional veining -- drilling will create confidence in structural and grade continuity leading to the further listing off model tons and grade within the demand. The main like and central zones are all open to the north based. And with the exciting results saying, this drilling will continue to be one of the primary exploration focused over the course of 2022.  The second major development was the update to our mineral resource and mineral reserve estimates. At Costerfield, the proven and probable mineral reserves for gold -- for contained gold were increased by 24%, necessary operation for 2021 production. During the 10 month from discovery to data cutoff in 2021, Shepherd contributed 296,000 tons of ore at a grade of 12.4 grams per ton gold, and 1% antimony into mineral reserves. Costerfield's total proven and probable as of December 31st, 2021 is 769,000 tonnes at 12.6 grams per tonne gold and 2.5% antimony for a contained 312,000 ounces of gold and 19,500 tons of antimony. We extended the mine life by two years to 2027, and the mineral reserves of the Youle and Shepherd ore bodies were added an exploration cost of $31 per gold equivalent ounce. At Björkdal, the mine maintained its long mine life until 2030. We improved our geological understanding, allowing for measured resources and proven reserves to be estimated for the first time at Björkdal. We looked out total improvement in probable reserves as of December 31, 2021, where 12.1 million tonnes at 1.39 grams per tonne gold, for a contained 542,000 gold ounces. The cost of adding those mineral reserves was $41 per ounce of gold. Unfortunately, a lot of the high-grade drilling results of the Central Zone Extension Program, were realized during the fourth quarter. And was therefore not included in the year-end mineral resource and reserve estimates.  We expect higher-grade additions to the end of 2022 as a result of the continued drilling along the eastern flank of Björkdal. Lastly, looking ahead, exploration at Björkdal in early 2022 is planned to see a continuation of their eastern extension and the infill programs, as well as the recommencement of the north sign testing, an infill program, which is designed to extend resources found in 2020 along multiple veining horizons located up to 500 meters north of Aurora. Regional surface to -- sorry. Regional surface diamond drilling will also recommence in April on several highly prospective targets by Costerfield. In Q1 2020, a significant number of drilling program are expected to commence with a focus on expanding the Shepherd banning to the south and at debt. The Brunswick and Margaret debt testing programs will also continue through Q1 and the Cuffley  Robinson testings and  testing programs are expected to commence as well. Thank you. That concludes the exploration updates. And I'd like to hand back the call to Dominic. Dom?
Dominic Duffy: Yes. Thanks, Chris. With the amazing success of the eastern extension at Björkdal, a mining concession application has already been submitted to the relevant authorities in Sweden, to extend mining license holdings to cover this eastern extension of the veining. The increasing grades within the extensions of the Björkdal deposit mark very significant development for this mine, and will be a major focus of our production in years to come, I would expect. Well, at Costerfield, Shepherd 's significant grade and ounce contribution in such a short time span between discovery and publishing the mineral reserve and resource, highlights a richness of the Costerfield's mineral system and their expectations of much more volumes to come. Thank you to everyone. This concludes this portion of the call. Now, I'd like to open the lines up for any questions.
Operator: Thank you. We will now be conducting a question-and-answer session. . A confirmation tone will indicate that your line is in the question queue.  One moment please, while we poll for questions. Thank you. Our first question is from Daniel Baldini with Oberon. Please proceed with your question.
Daniel Baldini: Hi. Good morning. I have a few questions. And the reason I'm on the line is because my colleague, Kevin Tracey, who you know well, is on vacation. So I'm going to ask a few questions, and I'm not as well informed as he is. But I have been following the company for an awfully long time. So you've given guidance for this year, and it seems as though the guidance for this year is within the ranges of what you produced last year. And I read the report, you had free cash flow, I guess adjusted for the delays in shipping, of $33 million U.S. in 2021. And so would it be reasonable to expect free cash flow of a similar amount for 2022, assuming that gold price and antimony price at stay at the levels they were in 2021?
Dominic Duffy: I would hope that we have an increase in our cash flow in the coming year, Daniel. The main reason being, if you look at our guidance, our production profiles are similar. However, you must take into account that that's without Cerro Bayo mine, which produced approximately 9,000 equivalent gold ounces. So if we are getting similar production profile, that would be with our Cerro Bayo costs that were attributed to last year. We do have some large capital, like I would hope that would be because there are no associated Cerro Bayo costs, yet has similar production profile well within our guidance. We do have more exploration spend, unfortunately this year as well, but would hope that we can improve on our cash flows during 2022.
Daniel Baldini: Okay. And then, in your reserve -- where in the press release with your reserves -- the grade of these reserves seems to be, I don't know, equal or better than the grade of what you mined last year. And so -- and you say -- and it seems as though you have a reserve life of at least six years in consolidated. I mean, well, longer because Björkdal 's longer. So assuming the gold price and antimony remains the same, you could imagine that you'd have that free cash flow for 6 years, 6 more years.
Dominic Duffy: Yes, correct. That's right, because the reason we firstly processed that lower than our reserve grades in last year is because we were still mining some of the lower grade deposits. As of now, we're pretty much -- by year-end, we're pretty much solely producing from the Shepherd -- I'm sorry. From Björkdal line and start in the little tiny bit within Shepherd that's why our gold grades in Q4 at 13 grams, in which correspond slightly above our reserve grade. So I would anticipate going forward now because of bulk of the lower grade for eminence have been completed, that will be mining at our reserve grades at Costerfield. However, I don't anticipate over the coming years that we will be increasing our production at Björkdal. We don't know, as of yet what the impact of this Eastern central zone will be, but we do anticipate that we'll be lifting our grades. So over the coming six years, I would actually anticipate further improvements, similar production profile from Costerfield, but improvements without any real additional cost at Björkdal.
Daniel Baldini: Okay. Let me ask just a few more questions, then I'll .
Dominic Duffy: Yeah. No problem.
Daniel Baldini: So with Shepherd, you added 130 ounces to the reserves. But it seems as though there's more to go. And do you have any sense of the potential with Shepherd and how many ounces of reserves might be added this year from Shepherd, or what percent of your thoughts -- or what percent of your estimate of the deposit that has been added to reserves?
Dominic Duffy: It's a tough question, because we've only known about it for 10 months. And to date, we have been quietly limited in how much we could in-drill of it, because of the drill angles. We know at the bottom section of what we have drilled, there is what's called a calcined band, which generally kills the mineralization within the Costerfield deposits. However, quite generally the deposits do come back in after those calcified band. So we will be drilling data below that this year to confirm, whether the mineralization continues. But probably the more focused drilling will be on the south as the deposit is getting higher up. Which is very good for us. So we will be drilling it's stein's at this deposit is below the Youle deposit, however, as you go further to the south of Nexsan becomes higher. And so probably in the next six to ten months, our main focus will be easy drilling for us to the south and up higher, but honestly, it's hard to say how much mornings will grow because we just really haven't drilled much outside of account mineral reserve and resource. But we definitely do anticipate that we'll be currently this year.
Daniel Baldini: Okay. And when do you expect to announce some drill results?
Dominic Duffy: Chris, when would you expect we'll be updating on Costerfield again?
Chris Davis: Yes. I was going to say in the next couple of months, we should put an update on the drilling there. And I guess that I'm -- just to follow-on from what  saying late last year, we really focused on infill drilling at Shepherd, so that we can bring on those ounces that we've found there into reserves. So for now where we're just starting our journey of extending both into the south and depths the Shepherd resorts.
Daniel Baldini: Okay.
Chris Davis: .
Daniel Baldini: All right. One final question. I don't know, for the past 5 or 6 years, we've all dreamed that somewhere in this Costerfield, is another faster build, and you're -- every once in a while you drill one of these very deep holes. And I'm wondering, is there going to be any developments on that front?
Dominic Duffy: Yes.
Daniel Baldini: -- the course of this year?
Dominic Duffy: Yes. We're dreaming about that also, Daniel, don't worry. There will be a few deeper holes that we will be drilling this year, so mainly focus on the Brunswick deposit and the Capsulate deposit. It will most likely change throughout the year, but there are going to be several deeper holes drilled within that area this year.
Daniel Baldini: Okay. All right. Well, thank you for your time and congratulations on the wonderful performance. Keep it up.
Dominic Duffy: Yeah. Thanks, Daniel.
Operator: Thank you. Our next question is from Robert Plum, Private Investor. Please proceed with your question.
Robert Plum: Hey, guys. Congratulations on a quarterly and yearly results. Tremendous -- it has been a tremendous turnaround at the company and as a shareholder, I am very happy, but my first question is, I've seen some of your interviews and videos on YouTube in the past. Will you'll be engaging in any promotional activity this year to try and get the word out on how well the company is doing, and maybe less in the discount?
Dominic Duffy: Yeah. Yeah. Robert, we definitely will. So we're actually going to pay using some additional firms to try and get more messages out there. It's obviously with COVID and have been restricted and myself and Nick in attending a lot of conferences in-person, but with things opening up now we will be trying to drum up a lot more additional investors, speaking to a lot of people, and obviously trying to get as many interviews as possible to get word out there. As you know, it's a pretty good -- it's definitely very under-appreciated story with our financials. We will be focusing a lot on trying to get the message out there and point out exactly how well positioned this company is.
Robert Plum: Great. Wonderful to hear that. Which leads to my next question. Recently Australia, I guess, is then opening up and reducing travel restrictions. Will that help with your situation at Costerfield with labor and such?
Dominic Duffy: Yeah. We don't have -- we never really had many labor issues within Costerfield because Australia was so tightly locked down and controlled that there were very little incidents -- instances of COVID within the site. The main impact from Costerfield was, actually, shipping. The international trade routes and everything became very difficult. That's why we had delayed payments over the course of last year. What it does allow, is for ourselves and corporate to get to site more often. But we -- COVID never really had much of an impact. We will see some inflationary impact over the course of this year going forward. There's the cost of consumables lifting, but that has been taken into account into our budgeting.
Robert Plum: Okay. Well, that's good to know. Thank you. Also, can you speak a little bit as to your overall environmental liabilities? I see that you're expecting a refund of approximately 3.5 million Canadian from the closed loop and mine. Has your overall --
Dominic Duffy: Yes.
Robert Plum: Has your overall environmental liabilities gone up or down? Can you speak to that a little bit, please?
Dominic Duffy: Over the course of this year, overall liabilities were dropped significantly because we have approximately $49 million Canadian in security bonding for the closure of that asset. So that's re-mining, so we anticipate $3 million returning soon. That rehab is scheduled for completion this year, after which we should be off to recover the majority of that bonding, so that by the -- towards the end of this year or early next year, several -- probably $2 to $3 million will have to stay in that security bonding long-term. Come for -- for monitoring of the side. We're very glad that we're pay enough to work so closely with none of it government together completed over the last three years. That's been a very close relationship, and actually they've been a very good department to work with the authorities. We deal with both federal and local within Canada. In relation to the other two sides, bonding is always increasing, as our prices continue the tailings tend to get larger, the operations move out further. So you do always have incremental increases, but they're nothing. We don't anticipate anything significant over the coming years. And also, I forgot to mention, we did decrease last year's several million of our asset retirement with ARO because of the sign-off, Cerro Bayo or that was quite acquired a large obligation that we have actually have.
Robert Plum: Okay. Very good. Thank you. And my last question is, what eventually -- and I know it's a difficult and open-ended question. But what eventually do you think could be the Björkdal ? I think it was $1700 for fourth quarter. Do you think eventually that could come down to $1500 or $1400 somewhere in that neighborhood?
Dominic Duffy: Look, I'd like to get it. Björkdal was very grade dependent. So it's quite -- it's a fairly fixed cost operation with our underground workings. So it's a good key of increasing the growth to decrease our cash and all-in sustaining costs. Yeah, you're correct. It's a difficult one to answer about longer term. I definitely be aiming to get it below 1,300. With what we're saying in the taste enzyme drilling on, I'm hoping that we can get some very good grade piece to this operation long term. We are anticipating thing over the $15,000 -- $50,0000 ounces produces this year. And so that naturally will be dropping quite a bit from where it was.
Robert Plum: Okay, good to know. Thank you, guys. And congratulations on the great quarter, great year and keep up the good work. Thank you so much.
Dominic Duffy: Great. Thanks, Robert.
Operator: Thank you. Our next question is from Lawrence Rito, Private Investor. Please proceed with your question.
Lawrence Rito: Hi, Dominic, and the team. And congratulations again on a wonderful year. I only have a couple of questions. My first one is, could you comment on any external growth in the company with regards to acquisitions?
Dominic Duffy: So Lawrence, we are -- firstly, thanks for the congratulations. We are actively looking for potential transaction. It's -- but it is definitely a slow line -- slow process where we're continually talking to counter parties and banks to see if there are opportunities out there at the current time. We are in a very good financial position now. We've got internal growth from L2 assets. But we're doing it over time to find additional assets. So we are actively looking on the M&A front to see if there is anything that potentially works for Mandalay. One of the issues is, most companies too say this, but we definitely are undervalued. So I think  Robert asked, a lot of our focus will be on trying to get the word out there and some further share price appreciation. So we will be spending a lot of time on that, which would help us a lot with bearing out to close out it and aiming a top of transaction.
Lawrence Rito: So is there anything close to -- are you pulling the trigger on anything soon or it's still?
Dominic Duffy: I wouldn't anticipate anything in the immediate future, I don't think. But I can't really comment too much on what type of discussions we would've been having with anybody.
Lawrence Rito: You mentioned working with banks and financial institutions. Would Sprott Asset Management be part of some of your discussions on acquisitions?
Dominic Duffy: We would have spoken to Sprott, and virtually most of the big banks between Canada. So we're always in contact with the banks.
Lawrence Rito: Okay. I guess my only two questions pertain mostly to Yorkdale. It was mentioned in a previous call that the farther you mine away from the plant, more costs to the increase in haulage costs. Is there any way to address that?
Dominic Duffy: Yeah. The further out into the deposit, we do get -- yeah, there's increase to haulage costs. However, with what we are finding in this central design to the east, that actually, if that -- it is appearing to be significant, that discovery, that would actually decrease our haulage costs because it's close to portal. We've got a lot of expectations for that area. But yeah, the further north we go, we do increase our costs, and that's a definitely -- that's not anything you can overcome. That's just something we have to live with. That you would've -- we are exploring for high grades within the north western zone, as well as mine continues further out there to focus more on that. I'd hope that our central zone discovered will be out to lower our haulage costs with like a lot of that production of the coming years to be coming from there.
Lawrence Rito: Well, quite an interesting find now that you're finding grades above the marble -- what do you call the marble contact there so.
Dominic Duffy: They are actually below the marble contact but it's --
Lawrence Rito: Okay.
Dominic Duffy: --a geek. Yeah, yeah. Sorry.
Lawrence Rito: You're drilling on your drilling into the lakes zone from underneath, is there any potential are you going to be drilling from above? And will that area become pitable?
Dominic Duffy: No, especially not. It's been to-date pitable. So when we drilled the above Aurora, we actually found pretty much little limits of the mineralization up above. And that corresponds to  lifetime as well, which it's starts 
Lawrence Rito: Okay. So it sounds like it's trending in all directions and downwards, but not that --
Dominic Duffy: Yes.
Lawrence Rito: --straight up to the surface?
Dominic Duffy: Yes. Yes. We're pretty much in -- that tiny direction we have limit to.
Lawrence Rito: Okay. My last question is to do with the  orders, is there any -- has any decisions been made to put an offshore order in at Yorkdale?
Dominic Duffy: Yeah. There's actually work ongoing with that at the moment. So we -- in the process of actually, tried off starting between ore sorting or increasing the overall throughput off Björkdal. I mean, we have money budgeted for some of that work to be done this year, but we have to complete the study to the downside of ore sorting inside, they're trying like 10% of the gold. So you have shorter term benefits against longer-term losses with ore sorting quite often. The benefit if you could, we're permitted to process more. If you could upside increase the throughput through the processing plant. You're not actually losing any additional ore And you are slightly lowering your operating cost per ton because the more you process, the lower your cost per ton in the plant is by a fractional amount. So you're not increasing your operational costs, and you're not turning way any of the additional goals. So between the two of them, a lot of it depends on the capital outcome, but my preference would be tending towards an upgrade in the plant as opposed to an optical or sort of that. And that something ongoing and we do anticipate that we'll be out to inform the market on what direction we're going as it could within the next few quarters.
Lawrence Rito: Can be -- well, either way, I guess there's going to be a capital expenditure to extend the current mill?
Dominic Duffy: Yes. And that's where -- obviously where almost 90% of the study is going into.
Lawrence Rito: And how much do you estimate that to cost?
Dominic Duffy: In at the moment that -- and so that's where -- that study is still ongoing, so I can't release it until the -- we have the final numbers.
Lawrence Rito: Are you testing any ore to determine which where you're going to go?
Dominic Duffy: We did carry out optical sorting testing several years ago. So we understand very well what top of result we would be getting with ore sorting is just the capital that has the be studied. The complication with school FDA, or their rate in where we are priorities it very cold so the phrasing of the mineral actually, once you washed it, does complicate things quite a bit and increases the capital cold zones, optical ore sorting projects significantly more expensive than warmer climates because you have to put in heating and everything else has to be --  etc., the water has to be heated to minimize the freezing of the mineral.
Lawrence Rito: I understand. Yes.
Dominic Duffy: Yeah.
Lawrence Rito: Well, I know what it's like to live in a coal country and I'm pretty sure that most figures  expenditures from your team is probably to Australia instead of Sweden during the winter time.
Dominic Duffy: Yeah, I think  unfortunately.
Lawrence Rito: Anyway, thank you for answering my questions and I wish you a wonderful day.
Dominic Duffy: Fantastic. Thanks, Lawrence.
Operator: Thank you. Our next question comes from Daniel Baldini with Oberon. Please proceed with your question.
Daniel Baldini: Hi, it's me again. I had a thought prompted by the previous caller's question. I imagine when you go out and visit with investors and advisors, investment bankers, and so on. They'll tell you, "Oh, this is all very interesting but there's no liquidity, so we can't invest. " And then the next proposal will be, "Oh, you need to issue shares to improve the liquidity. " Well, I just like to suggest that you bat away that idea. And the liquidity in the stock is just a matter of price. And maybe if someone says this, you can just say, well, bid -- bid more than the current price. Significantly more than the current price and a lot of liquidity will show up. But resist any temptation to issue shares simply to improve the liquidity because if the share price goes up, the liquidity will improve.
Dominic Duffy: Yes. Thanks for that point Daniel and you're correct about all the banks. They do say to us. Yes, we have definitely resisted that. I agree that liquidity is a big issue we're very tightly held. So the -- just small moves, small stock movements can have a significant impact on our share price, but the company is in a very good position that there is no real need for -- we're generating a lot more cash than we can spend at the current times. And it will not look to our current shareholders to be doing any finance -- issuing of stock.
Daniel Baldini: Okay. Thanks for that.
Operator: Thank you. Our next question is from Robert Plum, private investor. Please proceed with your question
Robert Plum: Hey, guys. Another couple of quick questions for you. Are you having any problems getting the assay results back from labs, in terms of having to wait a long time? Or is that okay at this point?
Dominic Duffy: No. We haven't had any major issues. Obviously, our mind competitor in our lab in Victoria, is Fosterville, but they're not -- they haven't done any upgrading of their processing. There's a lot of exploration occurring in Victoria, but there's no real uplift. That's been fine. Most of our assays in Sweden are done in the Finnish lab. And that's fine, as well. Obviously, we do have our main competitors there for getting lab space. Obviously the iron maker  mine, and doing a lot of drilling up north in Finland, but there isn't thing not  increase has impacted us significantly. So fortunately, unlike a lot of the companies that I've heard about, we haven't really been impacted.
Robert Plum: Good to know. Thank you. And then I guess finally my last question is, unfortunately, the energy situation in Europe, it's been in the news here quite a bit. Are you having any tremendous cost inflation with electricity or energy at Björkdal, or do you anticipate any of that moving forward?
Dominic Duffy: No in Sweden and Norway are very different cases than a lot of Europe in that, they have majority . So it's part of the reason why Björkdal can operate at the current low grades, which we anticipate to lift is because energy costs are extremely cheap and we just, last year, signed another long-term contract for our fixed entity costs. Which generate a fraction what most mining operations pay because of the hydro.
Robert Plum: Good to know. Okay. Thank you, gentlemen.
Operator: Thank you. Our next question comes from Earnie Molisk, Private Investor. Please proceed with your question.
Earnie Molisk: Here's Dominic, congrats on the great results. When are you going to start accruing a dividend? I mean, you are making now a dollar per share in income. So one would think you could afford a dividend.
Dominic Duffy: Yes. And so Earnie obviously, our main focus was becoming net debt-free. So before considering a dividend, it was discussed in earlier board meetings that was a focus for the current time. Our next board meeting, I dare say that will be part of the discussion that there might be the possibility of implementing a dividend, but obviously on this call I can't say whether we go online and that has become public if the Board makes the decision through the correct means. But, yeah. We definitely could. We are in a position that we could with our account financial positions. It is a possibility going forward.
Earnie Molisk: And is there any possibility of the hedge would gone away sooner?
Dominic Duffy: Not -- unfortunately, no. We could buy it out, but I would be very expensive. That's always an option with a hedge, the sand. But we haven't looked at that and the current time. It expires mid-2022, . We've gotten just over a year and a half reminding on that fortunately. So yeah. And that's --
Earnie Molisk: Okay. Thank you.
Dominic Duffy: -- And that’s 50 thousand ounces per annum, half in U.S. half Aussie.
Earnie Molisk: Okay. Thank you. That's all I have. 
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Dominic Duffy for any closing comments. 
Dominic Duffy: Thanks, Paul. No further closing comments at this current time. I'd just like to thank all of our investors for the patience they have shown as we turn this company around. And all of our employees who have done a fantastic job turning Mandalay into what it is today. And I look forward to updating the market on our future progress. So thanks very much. Bye.
Operator: This concludes today's conference. You may now disconnect your lines at this time. Thank you for your participation.